Operator: Hello, everyone, and welcome all to Azul's Preliminary Third Quarter Earnings Call. My name is Zach, and I will be your operator for today. This event is being recorded and all participants will be in a listen-only mode until we conduct a Q&A session following the company's presentation. [Operator Instructions] I would like to turn the presentation over to Thais Haberli, Head of Investor Relations. Please Thais, proceed.
Thais Haberli: Thank you, Zach, and welcome all to Azul's Preliminary Third Quarter Earnings Call. The preliminary results that we announced this morning, the audio of this call, and the slides that we reference are available on our IR website. Presenting today will be David Neeleman, Azul's Founder and Chairman; and John Rodgerson, CEO. Alex Malfitani, our CFO; and Abhi Shah, the President of Azul are also here for the Q&A session. Also it's important to mention that Azul has not yet published its interim financial statements for the three and nine month ended September 30th due to the considerable volume and complexity of tests to ensure that all effects of its capital optimization plan are correctly reflected in the financial statements and we'll keep the market updated on these efforts. Before I turn the call over to David, I'd like to caution you regarding our forward-looking statements. Any matters discussed today that are not historical facts, particularly comments regarding the company's future plans, objectives, and expected performance constitute forward-looking statements. These statements are based on a range of assumptions that the company believes are reasonable, but are subject to uncertainties and risks that are discussed in detail in our CVM and SEC filings. During the course of the call, we will discuss non-IFRS performance measures, which should not be considered in isolation. With that, I will turn the call over to David. David?
David Neeleman: Thanks, Thais. I welcome, everyone, and thanks for joining us for our third quarter 2023 earnings call. As you can see on Slide 3, we continue to strengthen Brazil's largest network by adding more than 40 new destinations since 2019. We're the only carrier in almost 80% of our routes and the leader in departures in 90% of our markets, a profitable strategy we will maintain as we grow. In fact, if you look at our ASK growth since 2019, 8% has been in five cities. Four of them are hubs and the one exception being Congolese. More importantly, we have demonstrated we can grow in a way that maintains our customer service excellence. We continue to run the most on-time airline in the region with the highest net promoter scores. John is going to give you more details on the quarter, but let me still extender for a second by summarizing on Slide 4. What this incredible team has achieved. Total revenues of BRL 4.9 billion in the quarter, an all-time record, 12% above last year and 62% above 2019. Fares and unit revenues are all up versus last year. In stark contrast to many other airlines around the world where airlines have fallen, especially in the United States in a year-over-year comparison. Finally, an EBITDA of BRL 1.6 billion and EBIT of BRL 1 billion, both records and most importantly, both in EBITDA margin and operating margin above 2019 levels. These numbers are a clear demonstration of what the real Azul looks like and is capable of delivering. This amazing team also implemented in record time, a comprehensive capital optimization plans that we have already described to most all of you. Upon the conclusion of this plan, Azul will have no significant maturities until the end of 2028 and we can now rely on the strong balance sheet, leading liquidity position and lower cost of capital to continue leveraging our superior network, product offering and cost structure, all of which creates a strong cash flow from operations. And the best is yet to come. For example, you all know about the E2 opportunity. This aircraft has a lower fuel burn, lower maintenance costs, lower ownership costs, lower trip costs while generating more revenue with 18 additional seats than the old E1s. We only have 17 of them operating now, but by the end of 2024 next year, we'll have 33. This is just one reason why we are so excited what we can achieve going forward. We're executing on our fleet transformation plan, demand environment is strong, our business units are all producing record revenues, and we are emerging as a more efficient airline. All I can say is thank you to each and every crew member. What they continue to deliver is absolutely incredible and we are truly excited about the opportunities ahead of us. With that, let me turn the time over to John to give you more details about the third quarter results. John?
John Rodgerson: Thanks, David. I also want to start by thanking our entire Azul team for their passion and dedication. Just last week, we were voted the best airline in Brazil by Melhores Destinos, the largest travel site in Brazil. Our internal crew member satisfaction scores this year were another all-time record with 82% participation among our people and 87% favorability score. Our team excels in delivering the Azul experience, our culture is stronger than ever, and our customers recognize the difference each and every time they fly Azul. Thanks to their dedication, we delivered another record result in the third quarter. On Slide 5, we summarize the cumulative effects of the strong demand environment, along with the high growth in our business units. Our all-time record revenue of BRL 4.9 billion in the quarter represents a 62% increase over third quarter 2019. This is a result of overall capacity of 19% and unit revenues up 36%. As you know, ASK growth often leads to a reduction in unit revenue, but demand for Azul flights is so high that we were able to simultaneously increase both capacity and fares. RASK in the quarter was $42.59, was a record for a third quarter and actually just missed the all-time RASK record for Azul by 0.3%. So overall, truly outstanding numbers across the board. Moving to Slide 6. You can see how the strength of our business model led us to 5% higher fares in the third quarter versus last year, even with fuel price dropping 33%. Remember, though, that fuel prices are still higher than 2019 and fuel prices in Brazil are the highest in the world. But as David said, this contrast with what other regions around the world are experiencing and this demand is consistent with what we've been seeing for almost three years now. Brazil had one of the fastest demand recoveries in the world, and Azul has the fastest demand recovery in Brazil. I don't know many airlines around the world whose revenues are 62% higher than 2019. Our business units continue to outperform, further adding to our Arsenal of competitive advantages as we show on Slide 7. Our loyalty program is now approaching 17 million members with high customer engagement, our co-branded credit card is doing incredibly well with a significant portion of the membership base coming from the Platinum and Infinite categories, premium segments with high levels of personal spending. In fact, our projection for total card member spend in 2024 is equivalent to 0.5% of the entire GDP of Brazil being spent on our credit card. Our vacations business continues to break records every month. It is now three times larger than 2019. This growth is extremely well aligned with our business model as it takes advantage of our low aircraft utilization [ph] on nights and weekends. Finally, our logistics business, Azul Cargo continues its growth trajectory and maintains its position as Brazil's largest domestic provider. We know that global cargo market is in a tough spot right now with many airlines reporting revenue decreases of around 30%. Azul Cargo, on the other hand, is performing significantly better and continues to show revenue growth, especially in the domestic market. We continue to win over new clients and to increase our partnership with existing ones. You may have seen the news that Amazon at a recent global event in Seattle, announced Azul as their partner for air logistics all throughout Brazil. On Slide 8, we turn to the cost side of the business. We told you we would emerge a more efficient airline, and that's exactly what we've done. Controlling for headcount on our hangar, which did not exist in 2019, Azul today generates 40% more revenue per full-time employee than we did in 2019. This is – this result is remarkable. We now have the lowest CASK in the region, not just when comparing aircraft within the same category, the A320neo compared to our competitors with the 737. We already had the lowest cost there. But now we have the lowest CASK overall, even with a smaller aircraft in our fleet. And as someone once said, it's low cost always wins. We have the most efficient cost structure in the region, and we will improve it further with our fleet transformation. This really gets us excited about the future. As you can see on Slide 9, we significantly increased the rate of E2 deliveries, doubling the size of that fleet in the last 12 months. The E2 delivers 18% lower fuel burn compared to the E1 with 18 more seats, leading to a 26% lower cost per seat. In 2023, we still had – had twice as many departures on our E1s than our E2s. As this ratio switches in favor of E2s, this will drive significant margin expansion going forward. This fleet transformation that is unparalleled in the region, in addition to making financial sense is also clearly a more sustainable way to grow. Our fuel consumption per ASK and carbon emissions per ASK are down an incredible 24% compared to 2016. Turning to slide 10. You can see the result of all these remarkable attributes, an all-time record EBITDA of BRL 1.6 billion and a 31.6% EBITDA margin, we have surpassed pre-pandemic EBITDA even with fuel 60% higher in an exchange rate 23% weaker to the dollar. Frankly, these numbers speak for themselves. This demonstrates the strength of our business and our structural competitive advantage. Turning to slide 7. You can see the significant increase in liquidity obtained through our capital optimization plan we concluded in September. As you recall, this plan yielded new agreements with practically all of our lessors and OEMs with the reduction in lease liabilities and improvement in cash flow. Given the scope and complexity of this plan, we haven't yet published our interim financial statements, and we'll keep the market updated on these efforts. Also thanks to this plan and all the support of our crew members, partners and stakeholders, we have no significant debt maturities until 2028, as you can see on slide 12. Now we can turn our attention to focus on our business and growing it. On slide 13, we show further evidence that demand in Brazil remains strong by comparing our expectation for fourth quarter RASK versus Bloomberg consensus for other airlines. In addition to the domestic market, our international network, which is now more than 100% recovered compared to 2019, is performing extremely well, with our complete network to the US and growth in Europe, with our new Paris service. Pricing and capacity discipline in the Brazilian market continued to be solid. This, together with our unique network advantages and flexible fleet deployment should result in unit revenue growth in the fourth quarter of 2023, leading again to an all-time record. As you can see on slide 14, Azul is the leading operator in next-gen aircraft in the region, with 79% of our ASKs flown by next-gen aircraft. Given that fuel prices in Brazil or about $1 per gallon higher than the United States, trying a young, fuel-efficient fleet is crucial. The fact that our fleet transformation is far ahead of our peers is a clear structural advantage that will remain for years to come. We also continue to outpace our competitors in next-gen deliveries, especially given the fact that Embraer, one of our main partners is experiencing fewer delivery delays than its competitors. We have roughly one Embraer E2 entering the fleet every month of 2024. Remember, we fly the most fuel-efficient aircraft over the shortest stage length with the lowest unit cost in charging the highest average fares. That's pretty hard to beat. Finally, on slide 16, we estimate 2023 EBITDA to be around BRL 5.2 billion, slightly lower than the previous projection as a result of the recent volatility in fuel prices and our adjusted capacity growth together with international cargo volumes being down. However, with strong demand we are seeing, together with our -- all of our margin expansion initiatives, including the E2, we already mentioned here, we increased our 2024 EBITDA expectation to BRL 6.3 billion. I truly believe the best is yet to come. In the last three years, we have focused on getting through the pandemic and then optimizing our capital structure. Now that this chapter has been completed, we can really focus on the future. That means accelerating our fleet transformation, unlocking value in our loyalty program by pricing our points for profit maximization, investing heavily in our co-branded card, attacking structural costs in Brazil, like the high-level litigation in the country. These results we show today are just a start. That is why we are so excited for 2024 and beyond. With that, David, Alex, Abhi and I are here to answer your questions. Operator?
Operator: Ladies and gentlemen, thank you. We will now begin the Q&A session. [Operator Instructions] Let's move on now to our first question. This question will come from Gabriel Rezende sell-side analyst from Itaú BPA. Gabriel, we're going to open your microphone so that you may proceed.
Gabriel Rezende: Thanks, and good morning. I'll start with a follow-up on John last comment regarding the guidance for 2024. It will be nice if you guys could provide us some color on how you're seeing the pass-through on forward bookings? Just trying to understand the assumptions for the higher fuel costs being passed through into the tariffs that you are selling right now for 2024? And second -- just quickly on a second point, if you could comment also on the OEM supply chain issues, whether you're seeing some deterioration on improvement looking forward or whether we could see some more delays in terms of aircraft being delivered to you guys? Thanks. And sorry, Abhi, please go on.
Abhi Shah: Hey, Gabriel. Yes, thanks for the question. We feel pretty good about the revenue environment. We've seen very good fair discipline, very good discipline on the capacity side as well. In fact, if you look at capacity in the domestic market compared to 2019, 4Q this year is actually flat, even slightly negative to what we had four years ago, roughly $28 billion to $30 billion ASKs. So -- and I think that, that capacity discipline is going to continue for next year and beyond. Sort of everybody is facing the same issues with fuel going up and down interest rates. So I really think the industry overall is very much interested in maximizing results and focusing on where they are strong. Like as David said in the opening, we've increased capacity, but 80% of it has been in five cities, all except a Congo is our hub. So our assumption for unit revenues for next year is basically what we are seeing at the back half of this year. And then you take that forward all through next year. So just run rate performance with the growth in our business units, which is a little bit of recovery in Azul Cargo, continued growth in our vacations business, Azul Viagens and our loyalty business. So we're not expecting something very different than what we are seeing already this year. Overall market discipline and growth in our business units.
John Rodgerson: I just want to talk quickly the OEM delays Airbus, Boeing, Embraer, Rolls-Royce, everybody has their challenges. And we received a delayed notification for aircraft we're supposed to receive in 2026, right? So I don't think this is a problem that gets resolved in the short term. I think the new technology that these engines are burning significantly less fuel. They just don't stay on wing as long, right? And so engines that we're supposed to stay on wing for 20,000 hours are coming off at 5,000 hours. And I think there's a fight in the market for spares versus production aircraft. And so I think what we're seeing today in terms of capacity around the world, capacity will be constrained for the foreseeable future until the OEMs fix that. I think that's a good thing as we look forward into 2024 and beyond. We're really excited that Embraer, we worked through our delivery schedule with Embraer next year. We're getting 13 new shells from them next year, not all on time, right? Some of those were supposed to be delivered earlier, but we do have a horizon as to when they're being delivered. But I think it's across the board, and I think all the OEMs are impacted by it, and it's a challenge that the industry has overall. So it's not necessarily specific to any manufacturer specific to Azul. It's just an across-the-board problem the OEMs are having.
Gabriel Rezende: Great. Thanks, guys. That’s very clear.
Operator: Thank you. Let's move on now to the next question. The next question will come from John [indiscernible] sell-side analyst for Goldman Sachs. John, we will open your audio so that you can ask your question. Please proceed.
Unidentified Analyst: Thank you, very much. Good morning guys. Thanks for taking my questions. Two from our side. The first one relates to the liquidity you guys posted, right? So, I would just like to get your help to reconcile your immediate liquidity change quarter-over-quarter, given the recent bond emission and the commitments you guys had in 3Q, right? So we saw immediate liquidity rises by BRL1.5 billion in 3Q, while you guys have raised roughly BRL4 billion in the third quarter, the 2028 notes, right? So, I would just like to get a sense from you guys to what were the key uses for the cash you guys raised it? And then a second one super quick related to the order for operating expenses. This quarter was significantly higher than the previous ones. So I just wanted to understand if this is the new level we should expect going forward or we should see a normalization back to last quarter's average. Thank you, very much guys.
Alex Malfitani: Sure. Thanks, John. Yes. So the BRL4 billion number roughly Dave mentioned, obviously, that's the gross capital raise that we had. We are going to provide a lot more detail once we have our interim financials with the auditor's review. But just to give you a preview, some of this went to paying down debt, and we provided already some of this information on the exchange offer because we paid down some of the bonds that were exchanged from 2024 into 2029 were already paid down. So that is future debt payments that we have already made right now. We also paid down some of our convertible debenture, which is also principal that has been paid down now versus in the future. Obviously, when you do a capital raise like this, we actually had four big transactions, right, when you think about it. We have the big capital raise of $800 million. We also had two exchange offers that together got to almost $1 billion plus the exchange of the convertible note. All of that, unfortunately, requires lawyers and fees and the moluments and advisers, which also took some of that money. But having said that, as we have told you already before, this was a much more cost-efficient way to restructure our balance sheet, right? We estimate that we paid maybe 20% to 30% of what a court process would have cost us, right, what some of our competitors went through, right? So -- but there is a big number of fees there. And then there are some adjustments into payments to lessors that we hadn't paid. We had gotten some bridge financing from lessors, which were paid some of it when the capital raise happened. And then we had gotten some deferrals from our fuel suppliers, mainly that we also paid down when we did the capital raise. So the important, I think, concept to everybody to keep in mind here is that, yes, the cash increase obviously was not as high as $4 billion or BRL4 billion for all of the reasons that I mentioned. But the cash generation is as strong as ever. So the restructuring that we did and primarily the reduction in lease payments that we were able to negotiate and also in the CapEx deferral repayments that we had originally contracted that has significantly decreased, and it should allow us to deliver on the cash flow generation that we indicated when we published the -- when we talked about the capital optimization plan.
John Rodgerson: And we cleaned up the payables. As Alex said, there were some fuel notes that we've got some deferrals on. We have no debt maturities coming in the next five years. So there was a lot of cleanup that happened. We feel very good about the cash balance where we're at today, especially with where we're at, we invested some CapEx in the quarter as well. That was a significant thing because the airline is getting back to growth. And I think that that was an important use of the proceeds as well. Now that we fix the balance sheet, we can focus the airline back on growth again.
Alex Malfitani: Exactly. And then on other expense, this is sort of a catchall. And so there are many things within this line. None of them are big enough yet for us to break them out, but we discussed that often here. But some of these expenses are driven, for example, by revenues, for example, GDS fees as our reservations increase. Sometimes when we start flying internationally, we start using more GDSs and then you see an increase in those fees by even more than our ASK growth. Some of these numbers here are driven by the exchange rates, some of these are driven by passenger count. But this is where we also recognize the cost of litigation and that is a number that we've been talking about the fact that this is increasing. There is a bit of -- the possible litigation is not a smooth number every quarter. I think this one was a particularly high quarter compared to historical levels and particularly compared to the same quarter last year. But this is something that the industry is very focused on. It's a cost that all passengers in Brazil have to bear in spite of the fact that the customer experience in Brazil is one of the best in the world. We are the most on-time airline in the world. We have one of the highest NPS scores in the world, and there are other Brazilian airlines in these on-time rankings as well. So this is something that I think we're all collectively interested, not just the airlines, not just the industry, but I think even the regulator and the government are interesting in finding.
John Rodgerson: I've said often that we're now back to focusing on running the business. And so to answer your question, is this the new norm? It better not be. We're going to drive the cost of this airline to be even more efficient going forward. We have a task force to go after a lot of these initiatives on a go-forward basis. And so nobody is happy with where that line is, and you'll see improvement going forward. And there's several things we're working with the government on, as Alex said on the litigation side, but there's other things that we're doing. Now we're focusing on the running the business. We're focusing on driving our unit costs even lower.
Unidentified Analyst: Thank you very much guys.
John Rodgerson: Thanks, John.
Operator: Okay. Thank you. We will now move on to the next question. The next question will come from Gabriel Raposo with Bradesco sell-side analyst. Gabriel, you can open your microphone, so that you can ask your questions. You may proceed
Q – Gabriel Raposo: Good morning, guys. Can you hear me?
John Rodgerson: Yes.
Q – Gabriel Raposo: Okay. So I have two questions from our side here. The first one, we saw that as when peers are in talks with the government or airfare prices. So could you give us some color about this discussion and if there is any kind of discussion also regarding the fuel prices? And the second one is related to the Boa Brazil program, the Ministry of ports and airports should submit by November 15, the official proposal for the program. So could you guys update us about this program? And how should we expect Azul benefiting from this looking ahead? Thank you. 
John Rodgerson: Yes, great. Thanks for the question. I have a pretty active agenda in Brasília and working closely with this new government on opportunities for Brazil, right? I think what's an opportunity for Brazil. Brazil still has the highest fuel cost in the world. Brazil still has the highest civil claims in the world for aviation, where we're 3% of the world's flights, we're 92% of the world' lawsuits, and we run the most on-time airline in Brazil. Those are huge opportunities for this industry. There are huge opportunities to invite more people to fly. And so I don't think the government is happy with where fares are in the country today. But fares need to be at these levels given the cost of capital, interest rates and the highest fuel cost in Brazil. So the agenda in Brasília is to look at fuel prices, look at the cost of capital, look at these lawsuits and how can we invite more people to fly, which kind of leads to your second question, which is Boa Brazil, and that's getting the Class C of Brazil to fly. And I think -- our biggest desire is to have more people entering into aviation and flying more with us. We want to grow this airline. We think there's tremendous opportunity. We’re currently in 160 cities in Brazil, and ABI has a forecast to be in 200 cities in Brazil. And we need to do that by attacking the structural cost disadvantages that Brazil has which creates an opportunity to create more jobs in Brazil, create more opportunity. Any time you hire a pilot, a maintenance technician is one of the best jobs you can get in Brazil. And so Boa Brazil is a great program overall. We've been working very closely with the two ministers, one Minister, Márcio França, that started the program and then now Minister Silvio who's kind of taking it on. But there was a change, and that's one of the reasons why it hasn't gotten off the ground yet, but we're fully supportive of it. And I think there's a lot of opportunity in Brazil. Look at what Azul has been able to do with the highest fuel cost in the world. Look at what Azul's been able to do with the highest civil claims in the world. Imagine how many more Brazilians could be traveling by airplane if we attack some of the structural thing. That's why I think there's great opportunity in Brazil today. Fuel prices today are still 60% higher than they were in 2019. That's one of the reasons why fares are up, we're grateful that fares are up because we need to run a profitable business. It's good for our people. It's good for investors. It's good for our growth going forward. And so I think the agenda in Brasília is very positive.
Q – Gabriel Raposo: Thanks.
John Rodgerson: Thank you
Alex Malfitani: Thank you. 
Operator: Moving on to the next question. The next question will come from Michael Linenberg, sell-side analysts from Deutsche Bank. Michael, we're going to open your microphone so that you can ask a question. You may proceed.
Q – Michael Linenberg: Okay. Can you guys hear me?
John Rodgerson: Yes.
Q – Michael Linenberg: Great. I guess I have a couple here. John, and Abhi, you talk about how strong the demand environment is in Brazil. And yet when you look at the overall GDP estimates and sort of where we are right now in Brazil and over the next quarter or two, it does look like we may be going through a bit of a soft patch. Are you seeing anything with respect to corporate or even discretionary travel that would reinforce the fact that Brazil may be going in through a bit of a downturn and not just Brazil, but the Southern Cone. Anything -- or are you defying sort of the macro backdrop?
Abhi Shah : Hey, Mike. So 3Q flown revenue was pretty good. We missed the all-time record just by 0.3%. But bookings actually in the quarter were even better. The accelerated kind of late in the quarter, September, October time frame. Bookings have been up 30% since June, for example, booked revenue. On the back of volume and fares, some of this, of course, helped by seasonality, late 3Q, 4Q is very, very strong seasonally and then our summer peak in January. But some examples, group's revenue. Group's revenue is three times higher than 2019. We're just seeing a huge increase in conventions in corporate events, in trainings that's something that what we hear from our corporate customers is going to continue. Corporate volumes 100% in terms of volume, much higher in terms of revenue but we had weeks with 100% corporate volume recovery. And we set five corporate all-time record fares records in September and October. Just a ton of events happening around the country. We had Formula One last week. I'm a Swifty. So Taylor Swift is here next week. And you know what she can do to the economy.
Q – Michael Linenberg: How do you get tickets
David Neeleman: No, no tickets. It's too hard. Too difficult. But overall, international doing very well, especially Europe -- and our -- and on international metric that's really interesting is that of our international unit revenue growth, which is up like 60% above 2019. Business class is up $0.20 versus economy is up only $0.10. And so we're seeing some pretty good premium traffic as well. So -- and combining this with capacity discipline and our network is different, right? Our network is more exposed to the Brazil that grows the Brazil stat still has a lot of growth ahead of it, whether it's agro, whether it's infrastructure, our network is significantly more exposed to the part of Brazil that's not just Sao Paulo or Rio or Brazilian. So the trends have been accelerating through 2Q and into 3Q. So it feels pretty good from what we can see. December is ahead of last year. January is ahead of last year as well.
Q – Michael Linenberg: That's great. That's great. Thanks Abhi. That's super helpful. And then just my second question. You fly the Airbus A320s, the neos, I believe you use the LEAP engine, so you don't have to deal with the GTF. Although, John, you did mention that it seems like power plants are coming off wings sooner, no matter what the engine is. What about -- just on your E2s, we know that the GTF is potentially an issue with E2s and A220s, a couple of carriers are saying they're waiting to hear from Pratt. What has the manufacturer said to you about the E2s? Do you have any grounded right now, for example? Anything on kind of the engines, et cetera? Thanks. 
John Rodgerson : Yes. Good news, Mike, is we've got no aircraft grounded on the E2 right now. I had a call with the President of Pratt over the weekend and we're monitoring it very closely. Good news is there's not as many E2 customers in the world. And so I think you just need to get in front of it. You need to make sure you have the proper spare ratio. We're a very important customer to Embraer and Pratt & Whitney and our business model is based on the E2, right? And so I think that that's kind of crucial. And it's constant dialogue to make sure that the spares are there, the deliveries are coming. And so it's not perfect. We understand that. Nobody wants to be where we are today. But I think we have a good relationship. And we're working very closely with Pratt and Embraer to ensure that we keep that fleet flying. And we're doubling that fleet in the next 12 months, right? And so that's a kind of a key driver for us.
Q – Michael Linenberg: Great to hear. Thank you.
Operator: Thank you. The next question now will come from Savi Syth from Raymond James. Savi, we're going to open your audio, so that you can ask your questions. You may proceed.
Unidentified Analyst: Hi. Good morning. This is Zara on behalf of Savi Syth. Our first question today is I know you provided early thoughts on 2024 capacity. How do you see that split between Domestic and International?
John Rodgerson: Yeah. Zara. It's -- so our International network is going to be -- you can take what we flew in the last quarter, which is public, our public capacity data. And it's just going to be year rounded. So there will be some growth, but it's basically the network we're flying today, year around. And the Domestic network is going to be just the deliveries of the E2s up-gauging from what we have today. So overall capacity growth around 10%, 11%, International is going to be kind of mid-single digits, if you will, just coming around and the rest of it domestic.
Unidentified Analyst: Okay, super helpful. Thank you. And how is demand evolving in the Brazil US and Brazil Europe markets?
John Rodgerson: Yeah. Europe has been strong for everybody. You heard that from the guys in the US as well. It's been a very, very strong European summer. We flagged the two largest European markets, Portugal and Paris, so pretty resilient demand even through the un-seasonal sort of winter. US, is a little bit more up and down, but it's looking very good right now for December, January. If you look at US Brazil capacity, it's still only 85% of what it was in 2019 and so you still have capacity shortages in US, Brazil. US -- Brazil, Europe is around 90%, 95% recovered, so -- but good demand. But overall, we're very happy with International and how it's performing.
Alex Malfitani: Yeah. If I could just add, interesting about our network, we fly to the US from Manaus, Belen, Confins, Recife and Campinas. And many of those routes are relatively new and developing, and that kind of shows the strength of our network in the north of Brazil, the northeast of Brazil, at our second main hub in [indiscernible]. And so there's -- we have five different points of entry from Brazil into the United States.
Unidentified Analyst: Great. Thank you.
Operator: Thank you. Moving on to the next question now. The next question will come from Daniel McKenzie, sell-side analyst from Seaport Global. Daniel, we're going to open your audio, so that you can ask your questions. You may proceed.
John Rodgerson: Yeah. He typed his question. So maybe he's not on the phone. I'll be able to read.
Alex Malfitani: Oh, Yeah. Hey Dan.
Daniel McKenzie: Yeah. Hey. Good morning. Sorry about that.
John Rodgerson: No problem.
Daniel McKenzie: Just a couple of questions here, just going back to the $6.3 billion in EBITDA for 2024 that outlook. What -- first of all, just some expectations around that. First, is there any unusual working capital -- considerations for next year that we should be aware of? Or will that EBITDA translate fairly accurately to cash from operations? And then just related to that, if you could help us unpack 2024 CapEx on a gross net cash basis? And then just kind of tying back to this idea of slower economic growth, what rate of slower economic growth might worry you with respect to the outlook that we see today?
John Rodgerson: Hey, Dan, I'm going to start and then Alex will give you the details. But I think what I want to highlight is this third quarter shows what Azul is capable of, right? You know, record revenue, record EBITDA, margins above 2019. We did $1.6 billion of EBITDA in the third quarter, right? Next year, we will have roughly 15 more E2s in the fleet because we're getting some at the end of this year. And so that gives you an idea of what this airline is capable of producing in terms of EBITDA on a go-forward basis. This year, we didn't have the full effect of Congolese. We didn't have a full effect of the E2s. We didn't have the full effect of kind of leveraging our loyalty program because of the crisis we were in. And so again, take a look at the third quarter and start to look at, wow, what is this little capable of as you roll this forward into 2024 with all the other good things that we're working on. As I've said several times, this management team is now focused on running the business. This third quarter, we showed once again two quarters in a row, we have the lowest CASK in the country. That's with flying ATRs, E-Jets and A320s, right? And so this company is capable of much, much more and kind of look at where we're at today. And I'll let Alex kind of walk through the details on the cash for next year.
Alex Malfitani: Yes. Thanks, Jon. So then there is a little bit of working capital help. Yes, because as we grow, we will be selling an airline that's bigger than the airline that we're flying, right? So throughout these years where we're having the rate of growth that we are guiding to, you can expect that the cash inflow from operations should be a little bit higher than the EBITDA, right, whatever the EBITDA number is and we updated our EBITDA guidance for 2024 as you saw. In terms of CapEx, we haven't given guidance on CapEx. So I can't give you a number. Conceptually speaking, you can see -- you can kind of revert back to all of the concept of the capital plan that we put out. What the objective of that was? Right, was to -- the CapEx and the leases were primarily the target of us trying to reduce it out and exchange it for a 2030 bullet note and an equity structure, right? So you will see the effects in CapEx from that restructuring plan. But we're in the middle of our budget right now. Normally, we don't put out 2024 guidance until we finalize the budget. We're very excited about what we're seeing here on the demand side. So we went ahead and put out 2024 guidance, we may provide additional details as we finalize our 2024 plan.
Daniel McKenzie: Yes, very good. Final question here, I guess, my last question. I'm wondering if you just expand a little bit on the cargo operation. To what extent is it profitable, either more or less profitable relative to the core airline?
John Rodgerson: Yes. Hey, Dan, we like to have a balance of about 80% cargo in the belly, 20% cargo on the dedicated aircraft. As you can imagine, the belly cargo is extremely profitable because you're piggybacking on the airline itself, crew cost, fuel, navigation, all that kind of stuff, right? The dedicated margins are not as profitable as the belly, but they are important to complement your product offering, heavy palletized cargo, industrial customers, even manufacturing customers. So, we like to have that 80/20 mix. We think it's good risk management overall and kind of yields good margins overall. But the belly part is definitely extremely profitable, given the fact that you're piggybacking on our 900,000 flights a day.
Daniel McKenzie: Okay. Thanks guys.
John Rodgerson: Thank you, Dan.
Operator: We will now close the Q&A session. And I will give the floor to John to make the final remarks.
John Rodgerson: I want to thank everybody and we'll be communicating to the market shortly once we have our audited financials out there. I want to thank everybody for all the hard work. I look forward to seeing everybody at conferences. Feel free to reach out to any of our management team and thanks for all your support.
Operator: Thank you. This concludes the Azul audio conference call for today. Thank you very much for your participation, and have a good day.